Walter Hess: Good morning, everybody, and thank you for joining today's conference call, which will be hosted by Daniel Wüest, our CFO, and me. Let me start by giving you a quick overview of the key highlights from the first half of 2025. We delivered strong growth in our Rx business with revenues increased by 43.5%. In July, the Rx bonus was reconfirmed, which strengthens our competitive positioning in the German market. TeleClinic revenues grew by more than 150% year-on-year, while our non-Rx business in total continued to deliver steady and profitable growth of 4.4%. We also took an important step into the future by leveraging AI innovation and starting the rollout of the DocMorris Health Companion. Financially, we successfully completed the CHF 200 million capital increase with a 99% take-up rate, demonstrating strong shareholder support and confidence in our strategy. And finally, we are on track to deliver on our promises. We confirm our guidance of more than 10% revenue growth and an EBITDA in the range of minus CHF 35 million to minus CHF 55 million for the full year. In summary, the first half of '25 shows clearly our core business is growing steadily. Our new value drivers are scaling fast, and we are well funded and on track to deliver on our commitments. Let's start with the ecosystem highlights on Slide #5. And let me walk through how our company is evolving from yesterday to today and to tomorrow. Yesterday, our focus was on building and strengthening a leading online pharmacy in Germany and across Europe. We became the best known pharmacy brand in the market and are best positioned and strongly accelerating our growth in the EUR 58 billion Rx market in Germany. At the same time, we built a profitable non-Rx business. This gave us not only scale, but also the trust and recognition that are essential in health care. The online pharmacy is our solid core foundation, the base from which everything else can grow. Today, we are building on that foundation. We don't replace it. We are expanding it. On top of this foundation, we have added new fast-growing high-value drivers. Our telemedicine and our retail media platforms and increasingly the use of AI and expansion of ecosystem partnerships are enabling us to transform. We are moving from being a purely transactional pharmacy to becoming a one-stop health platform, one that connects patients, doctors, pharmacies and partners in entirely new ways. And here's the emotional part of it. It means we are no longer only helping people when they need to buy medication. We are helping them navigate their health more broadly with care and support. And tomorrow, which starts today is where the real opportunity lies. Our ambition is clear: to become the trusted health companion across Europe. Imagine having a companion by your side for every step of your health journey from the first consultation to receiving medication to ongoing monitoring and all kind of health information and support. That is the seamless digital health experience we are building. We are creating not just a business that scales profitably, but one that truly redefines what health care feels like for millions of people. Let's move to Slide #6. One of the key milestones on our path to becoming the seamless health companion and to move from our current classical chatbot to a true companion is the launch of the agentic DocMorris assistant. This assistant is built on an internally developed LLM-powered multi-agent system with a custom retrieval augmented generation architecture. This unique setup enables us to design personalized health journeys and going far beyond what generic assistants can offer. We are starting with a beta phase right now in our DocMorris app, which will allow us to learn, iterate and continuously improve the user experience. This approach ensures that step-by-step, we can expand functionality, integrate additional services and move toward a full-scale rollout of the agentic DocMorris assistant. You might ask why a known DocMorris agentic assistant. Of course, the big players, as you can see on the right-hand side, are also moving towards becoming personal assistants, but we have a decisive advantage. DocMorris is a trusted health brand. And we want to leverage this trust with the agentic DocMorris assistant that provides fast and trusted answer when you need them most. And unlike the generic assistants, we have the ability to connect the whole health journey from symptoms to solutions and integrate it seamlessly end-to-end. And as a result, it will lead to higher traffic, enhanced engagement and stronger customer loyalty. Let's move to the business highlights now and turn to Slide #8. And with that to our core foundation, the online pharmacy business, which includes both prescribed medication and OTC BPC products. As you can see on this slide, we are continuing to drive sequential Rx revenue growth with Q2 revenues up to 4.6% versus Q1 and total Rx revenues growing 43.5% in the first half of 2025. With this, our eRx revenues nearly doubled year-on-year in Q2, up to 1.8x, underlining the accelerating momentum in electronic prescriptions. The rollout of eRx in Germany is a central pillar of our strategy. It opens up a EUR 58 billion prescription drug market with around 80% of volume driven by chronic patients. While the digital uptake is still at around 1% to 1.5% right now, we are convinced that penetration will rise steadily towards 10 and more percent over time, as we have seen in other digital savvy markets such as Sweden. The digitalization of health care is unavoidable, driven by patient demand and strong dynamics in technology. Another important development in the first half of the year was the confirmation of the Rx bonus by the German Federal Court of Justice, as you can see on Slide #9. After the European Court of Justice ruled once again at the beginning of the year, on July 17, the German Federal Court of Justice reconfirmed this decision. This provides us with full legal clarity and a solid foundation for our customer offering. With this clarity, we have launched on the same day a campaign focused on the Rx bonus and convenience of ordering digitally with DocMorris, reinforcing our positioning as the most attractive and trusted choice for our patients. From a financial perspective, the cost of the Rx bonus are fully compensated by balancing with marketing expenses. In other words, we are able to deliver a highly compelling offer to customers without impacting our overall profitability targets. So this ruling not only strengthens our competitive positioning, but also underlines the regulatory support for our business model, which is another important building block as we continue to expand our prescription business. On Slide #10, our non-Rx business also continued to grow steadily and profitable by revenues up 4.4% year-on-year in the first half of 2025. And this despite the negative impact of the closing of the Zur Rose pharmacy in Germany. This is driven by OTC and BPC products in Germany and our segment Europe and supported by initiatives such as growing marketplace, TeleClinic and retail media businesses. These service revenues are scaling rapidly, growing by more than 120% in the first half of 2025. And this is exactly the kind of fast-growing high-value driver that demonstrates how we are -- how we already have evolved into a holistic health platform. The picture is clear. Today, we are not only maintaining profitable growth in our core non-Rx business, but we are also unlocking entirely new revenue streams through our services. And together, they prove that our platform is expanding from a transactional pharmacy into a broader, more connected health ecosystem. Let me go now one level deeper into one of our fast-growing high-value drivers, TeleClinic. TeleClinic shows an extraordinary momentum with revenues up more than 150% year-on-year with highly attractive margins. Looking ahead, TeleClinic is expected to contribute around 10% of total DocMorris gross profit already in full year 2025, underlining how impactful this business is becoming for the group. What makes TeleClinic unique is its extraordinary competitive position built on strong network effects and high partner satisfaction. We already handled over 3.5 million treatments. We work with more than 4,500 doctors, and we have built more than 60 strategic partnerships with leading health insurers and doctor associations. And just recently, we signed a second landmark agreement with the doctor association. This time, it's Westfalen-Lippe, representing more than 16,000 doctors. This is another great success and an important proof point. It shows not only how valuable our platform is for patients and insurers, but also how much it is trusted and valued by doctors and their associations. And with that, TeleClinic is becoming a permanent part of the standard of care in Germany. All of that creates a sustainable competitive edge that is very difficult for others to replicate. And importantly, the growth opportunity doesn't stop here. In 2025 and beyond, we expect further strong growth from TeleClinic, driven by the expansion of existing and new partnerships and the increase in reimbursed telemedicine treatments for doctors rising from 30% to 50% today. So TeleClinic is a perfect example of how we are successfully expanding beyond the pharmacy into services that are scalable, profitable and strategically differentiating. And it shows how these new services can significantly expand the overall growth, profitability profile and company value of DocMorris. Finally, let me introduce a second high-value driver with our retail media business, which we have started a few years ago only. Retail media means that brands and manufacturers advertise their products directly in a retailer's ecosystem where the purchase decisions are actually made. This happens both on-site, for example, directly on the DocMorris platform when customers search or browse and off-site, where we use digital channels beyond our own site to reach and engage potential customers. With our own retail media agency named dmr Advertising, we have built a key player in retail media for health care. What this means in practice is that we offer advertising and sponsored content for relevant health products placed with high precision and relevance on on-site and off-site platforms. We are leveraging our deep market know-how and unique access to customer insights to provide highly targeted, high- precision ad solutions for pharmaceutical manufacturers and health brands, for example. This creates real value for partners and a very attractive margin profile for us. The business is also scaling rapidly. Already this year, we expect mid-single-digit million EBITDA contribution, and this is just the beginning. Over time, we see this business as another highly profitable growth driver that is structurally very complementary to our pharmacy and platform strategy. And with this ecosystem and business highlights and updates, I would like to hand over now to Daniel for the financial updates.
Daniel Wüest: Thank you, Walter, and also a warm welcome from my side. In the next few minutes, I would like to provide you with some further insights on DocMorris financial performance in the first half of the year. If we turn to Slide #14. Revenue growth, as Walter already mentioned it for the group was 10.2% in local currencies with all business units contributing positively to this growth. You have realized that the growth in Q2 with 7.1% was lower than in Q1 with 13.4%. Reason for that was, first of all, the focus on profitability, especially on the OTC, BPC segment product offering, but also, as already mentioned in the past, not only by us that Q2 had significantly less working days than Q1 and the other -- last year, it was the other way around. From a financial and a CFO point of view, very important, we have seen an improvement of the gross margin by 70 basis points year- on-year even 130 basis points compared to the second half of '24. And that's just the start and not the end of the journey. The increase of the gross margin is a mixture of the contribution of OTC BPC, where we see the first effects of our focus on pricing and the kind of distinctive channel distribution management as well as the growing weight of our service businesses, which, as you know, have very high gross margins. And therefore, with the strong growth they're experiencing and will experience in the past will also support the expansion of our gross margin. Adjusted EBITDA came in with minus CHF 28.8 million. That's lower or worse than what you have seen in the first half of '24. Reason for that is that we have compared to the first half '24, CHF 13 million, 1-3 million, of additional marketing spend, which comes mainly from three sources. First of all, the setup costs for the new DocMorris TV campaign, which started beginning of March. Secondly, the increased Rx marketing spending. And last but not least, we also have a base effect because you know in Q1 '24, everyone waited for the launch of CardLink, which then happened in the second half of April. And therefore, by definition, the marketing spending was naturally lower than usually given that the CardLink was not ready at that point in time. Very important is that we have seen between Q1 and Q2, a structural improvement of the EBITDA from -- with a difference of additional positive CHF 3.4 million, i.e., from minus CHF 16.1 million to minus CHF 12.7 million. This structural improvement will be ongoing, not only for the remaining of the year, for Q3 and Q4 first-movers and which will help there is further gross margin improvement, then the seasonality effect in the second half, usually volumes and therefore, also the leverage -- operational leverage is much better than in the first half of the year. And I think with that and additional cost measures, which you have -- which are already reflected in Q2 will go ongoing, and you will see a substantial improvement in absolute terms of quarterly EBITDA, but also on the relative level. Reported EBITDA was better than adjusted EBITDA, that's mainly due to the sale of the two real estate assets, which we have classified as assets-for-sale and which has successfully been sold in the first half of the year for CHF 6 million, and that resulted in a book gain of CHF 3.4 million, which is a positive contribution to the reported EBITDA. Against that, we have CHF 1.7 million of additional provisions, which then made kind of a reported EBITDA, which came in with minus CHF 27.1 million and which is CHF 1.7 million better than the adjusted EBITDA we are usually focusing on. Importantly, the non-Rx business is well on track to generate positive EBITDA contribution. You remember last year, it was EBITDA breakeven. And this year, it will start really contributing EBITDA to the whole group, and that's kind of a prerequisite to also achieve them and build the base to achieve and become EBITDA positive in the course of next year. Overall results are according to management expectation, and we are well on track to deliver our guidance for 2025 and also then setting the base for the midterm guidance, which we have communicated. Let us go discuss the two segments. We will start with the bigger one with Germany. Basically, and not surprisingly, given the relative size, you can see more or less the pattern of the group. Revenues increased 10.5% in local currency. And that's definitely also true for the group results. But given that the effect is with Germany, already mentioned the closure of Zur Rose Germany by the end of last year, had kind of a mid-single-digit percentage point impact on the growth given that it's pretty difficult to keep your clients when you close down a brand due that you are not in a position to refer existing client to another brand or another company, and that's the reason why we assume and can see that we had a substantial loss of revenue, but also clients coming from the closure of Germany. Rx contributed 43.5% in local growth to the 10.5%, while non-Rx 4.4%. Also here, the same pattern, non-Rx minus 0.3% growth in Q2 versus 7.3% in Q1 showing the focus on profitability, which was kind of put in Q2. And on Rx, we had 52.3% growth in Q1 and then 36.2% in Q2. TeleClinic really stands out with 150% of growth, but also the other services are doing extremely well. They are together growing with over 70%. And altogether, our service subsegment, not official segment, but subsegment has contributed with over 120% growth in the first half of the year and is expected to significantly contribute to growth also in the future. Gross margins in Germany even improved by 75% or 140 basis, so 75% would be nice basis points and 140 basis points year-on-year. That's, as I mentioned, mainly due to better pricing or smarter pricing or selective pricing and higher contribution of services, which have high gross margins. So the lower EBITDA translates directly into the additional CHF 13 million additional marketing spend. Segment A did also a good job. They grew revenue by 5.7%. Also here, same pattern, 7.6% in Q1 growth and then lower growth in Q2 also with the aim to focus on profitability with [indiscernible] only 3.9%. Adjusted EBITDA, they came in with minus CHF 0.7 million and are well on track to achieve EBITDA breakeven in '25. Let's move to the KPIs. On the active customers, you see we have on a half year basis, we have -- we gained 200,000 new customers. Having said this, the gain of Rx customers was over proportional compared to OTC, BPC customers. Where does this come from? As I mentioned, the closure of the Zur Rose brand that had an impact of a few hundred thousand customers, which over time in the first half phased out. And therefore, on a like-for-like basis, this CHF 10.5 million should be a higher number, and that also explains why in the beginning, in Q1, we had the increase of 200,000 and Q2 was more or less flat, meaning that Rx customers still growth, but on the counterbalance, there was kind of a stable to negative development on the OTC, BPC customer base also due to pricing and more selective channel mix. On the app downloads, there also a nice development. The app downloads in the first half almost doubled compared to the second -- to the half a year ago to 1.2 million in the first half. Basket size also, even it shows somehow a negative trend, but I think there are two reasons and kind of positive reasons for this negative trend because, first of all, new Rx customers usually do not fill up the basket as much as they could, but they do a first test, and that's the reason and only order one instead of two, three medications, even if they could to see how that works. And if it works, then they will come again. That's one explanation that the new Rx customers are usually driving has much lower basket and that drives the overall basket down. And then secondly, and that's explained in the footnote two, sometimes it's important to read the footnotes. I think here, we define the basket size, the average size of the basket size that if an Rx customer has purchased one medication, for example, at day one, and the next day, given that because the service was so perfect that, okay, let's also order a sun cream with DocMorris and with a much lower basket and is ordering that, that also is counted into this average basket calculation. Therefore, you see it's a double effect, first of all, lower basket at the beginning. And then secondly, if non-Rx clients and as soon as he has once ordered Rx, if an non-Rx client is ordering an OTC basket only or mixed basket, that also counts into the basket size. Therefore, you have to take that with that in mind and do not think that the basket size is deteriorating on Rx basket only. Order frequency remained stable at the close to the full level. And then also kind of a very positive trend, the repeat order rate, which increased from 76% by the end of last year to 78% by mid of this year. And you see that this repeat order rate is continuously raising since the introduction of CardLink in the -- which is reflected in the June '24 with 75%. Now let's have a closer look at the profit and loss statement. I do not elaborate on the top line because I've already mentioned that. Let's go into the costs, margins, you've seen 70 basis points increase on CM1 level. Personnel expenses, that's also notably have come down by 40 basis points. That's showing first effects of the indirect cost management, but there's definitely much more to come. Marketing expenses, you see that the CHF 13 million, which I referred earlier on. And then distribution and other operating income, that's some increase, which is especially on the distribution with increased freight rates. But there, having said this, in distribution, but also operating income and expenses, we see still a lot of potential to further reduce that and especially on the distribution expenses to come in our target corridor, which we have communicated for the midterm guidance on this KPI. I think on EBITDA, we have this discussed. Maybe just one quick note on financial results, the CHF 10.6 million, that's the, let's say, the normal financial result compared to the plus CHF 6.2 million last year. The reason for that deviation is just FX, while we had last year CHF 40 million noncash profit on the financial income, it was kind of the slightly other way -- the other way down in this half year, where we had minus CHF 2.5 billion of FX changes and the remaining or mainly the costs and the interest costs for the convertible bond. Group balance sheet, I think, looks even nicer than it has already looked given the CHF 200 million inflow of the capital increase. You see there's kind of a now even stronger balance sheet with an equity ratio of CHF 53 million, net debt of CHF 90 million and by mid of the year, CHF 230 million cash at hand, which allows us to comfortably to bridge the time until we become cash flow positive in 2027. A key topic which was still pursued despite the full focus on the capital increase is managing our indirect cost base and also the net working capital. You see despite some slight distraction due to the capital increase, we were further able to manage costs down the indirect cost. And it's a clear ambition and target to have kind of a further decrease on an annual basis. Last year, we had 7.7%, and we aim to come as close to 7% and then in the following years, much further decrease. And you will see, especially in '26, a huge kind of drop in indirect costs given measures we have started to implement and which we will implement to reduce the cost base and substantially increase revenues, and that will have a substantial impact on the indirect cost ratio. The same is true for net working capital. Also there, we -- you see the net working capital ratio goes down despite higher revenues. With the half year '25 with the CHF 45.8 million, I think we somehow not as deliberately by the year-end managed the net working capital. And therefore, starting from this CHF 46 million base by mid of the year, we are very confident that we can extract in the second half of the year a few million additional savings in net working capital, first of all, just by doing our usual job, but then also secondly, by further implementing the big measures like the accounts payable. It's not yet -- not yet fully executed, but we are on good track to get there. And we are also hoping and are confident that we can report on that when we meet not next time, that's in October, but the time after that this mechanism should be implemented. That's the insight to the financials. Then it's important that based on the half year figures and the current trading, the management team of DocMorris is very confident to confirm the short and midterm guidance. And with that, I think we open the Q&A. Thank you very much for your attention so far.
Operator: [Operator Instructions] And the first question comes from Sebastian Vogel, UBS.
Sebastian Vogel: I have three questions. I would ask them one by one, if I may. The first one is with regard to your EBITDA guidance, the minus CHF 35 million to minus CHF 55 million. So what would happen for you that you would rather end up at the CHF 35 million? And what would need to happen that rather end up at the CHF 55 million? If you can shed some light, that would be my first question.
Daniel Wüest: Okay. I think to say just one, we have it basically in our own hands, whether we end up at CHF 35 million or CHF 55 million. And I think the decisive factor is kind of the marketing spend, which we can steer towards one or the other direction. I think currently expect that the -- as I mentioned, that there will be definitely without any compromise being better quarterly EBITDA in Q3 and Q4 than what we have seen in Q1 and Q2. And then marketing would be -- the marketing expenses for the second half would then be kind of the, let's say, the steering wheel to drive it more towards the CHF 35 million or towards the CHF 55 million. I think that's all what we can say so far.
Sebastian Vogel: Got it. My second question would be on the ramp-up of the Rx bonus that you have started since mid-July, as you were alluding to in your slide deck. Can you share some thoughts on how that sort of ramp-up was going? Any anecdote that you can share there?
Walter Hess: Yes. So what we already can say or see is there is a certain impact, a positive impact, of course. But to really share a view is far too early because it was mid of July. Now we are mid of August. We are in the midst of the vacation season in all the German states. And we have planned the majority of our marketing activities starting next week and then throughout September, October and following months.
Daniel Wüest: I think it's important that, first of all, as Walter mentioned, we have a good feelings, but good feelings also need to be seen in good numbers. And that's much too early that one can see anything. And it's very important that's not additional marketing, that's kind of marketing. We just guided into a new channel viz-a-viz to the Rx bonus instead of, for example, doing TV campaigns. And then it's not additional marketing expenses, but we stick to our marketing budget, but just reallocate it from other sources, marketing sources to the bonus. Much impact, of course, because if someone gets a bonus, he yes. And I think that's a much more efficient channel than kind of the other channels.
Sebastian Vogel: Got it. And then quickly for the second half year on the free cash flow side of things, do you have any sort of flying altitude that you're aiming for that you can share?
Daniel Wüest: Yes. I think if you look at the first half, then it would be wrong to just double it up, as I said, given that EBITDA will substantially improve and then you will also have a positive effect on the net working capital, as I mentioned, with some high million or even a little bit more. And these are -- if you adjust the first half with these elements, then you should have a good guidance for free cash flow then would come out at the end of the year.
Operator: The next question comes from Gian-Marco Werro at KB.
Gian-Marco Werro: Two questions from my side. The first one is on the OTC growth. If I look at that and also compare it with your key peers and also considering that you are in the online channel, we have my questions why despite now focusing your marketing spending on Rx, you cannot really accelerate this top line there. What are the key hurdles? Is the market very competitive in which product categories it is in OTC and personal care? What is the market growth in the first half year from your perspective? That would be my first question. And then the second question is on Rx growth. If I consider your reorder rate of 78%, then I do just the back of the envelope calculation and consider that this reorder rate also applies for the Rx business. I just see that the revenues that you generate with new customers is not really picking up significantly. So what could you do there better to really also increase these revenues with new customers and gain a quicker pace here?
Walter Hess: Yes. Thank you, Gian-Marco, for your questions. Maybe on the first one, if you compare Q2 to Q1, there were several effects. One was -- is the seasonality. So Q2 is always lower than Q1 in every year, then the vacation days as other competitors also already have explained, had an impact Q1 against Q2 with less working days. But then it's also very clear our decision in which channels we steer the marketing investment and into which customers, be it the new customers of Rx or also repeat customers in Rx. And yes, with that, we can really very much and very well steer the OTC top line and CM2 and CM3 numbers. And yes, with regard to the second question, the 78%, yes, of course, we could most probably grow much more with new customers. But we see the investment on the marketing -- the marketing investment on the Rx side also very much with regard to reasonable customer acquisition costs and draw us. And there, we see from our side just limits where we do not invest additional marketing money and in additional growth so that it really also reflects the customer lifetime value and remains in a good relation to it.
Operator: [Operator Instructions] And the next question for now comes from Urs Kunz, Research Partners.
Urs Kunz: I have several questions. The first is regarding the marketing. When you spent CHF 48 million in the first half, are you supposed to -- or will you spend less on that since you're going more on the bonus side? Or can you elaborate on that?
Daniel Wüest: Thank you. I can answer this question. As I mentioned, it would be nice if it would be less. I just wanted to make sure that people do not think that the bonus is on top of the marketing spend, which we already have communicated and which we have in our budget for '25. It will be unchanged. And as said when Sebastian Vogel asked me, the marketing is somehow the number which we can steer. But at this point in time, just assume that the marketing spend remains as foreseen for '25, but with the optionality to adjust it down or upward if it's needed and useful.
Urs Kunz: Okay. Then on Rx, you're keeping your hope that the Rx growth is in 2025 over 40% despite Q2 was only 36%.
Daniel Wüest: Yes. No, I think that -- first of all, it's not an official. It is not the -- above 40%, it's not part of the official guidance. However, we communicated that orally, and that's still the ambition of the management team to achieve more than 40%. And as said, we have kind of good indications on the bonus. And if the bonus is kicking in and then has kind of the effect which we are expecting, then I think the growth above 40% should definitely be achievable.
Urs Kunz: Okay. Then my last question about adjusted EBITDA that in the end got worse if I compare half year '24 and half year of first half year '25 by CHF 9 million. If I add up this CHF 30 million spend more marketing spend, so it's about CHF 4 million better than the year before. I guess, most of this CHF 4 million comes anyway from your services like TeleClinic and retail media. So I wonder a little bit on the OTC BPC side, for example, where you said that you concentrate on margin and profitability, didn't anything come in there? Or is there an improvement on that side?
Daniel Wüest: I think I would not phrase it as drastic as you did it, but you're right. I think services had a fair share of this, if you extract the marketing of this incremental better EBITDA compared to the half year 2024. But having said this, and I think we were in non-Rx in Q1, we had kind of, let's say, a growth rate, which is what was above our communicated mid-single to high single-digit growth rate and which, as Walter explained, the high growth always means kind of compromising the margins. And therefore, that's what I wanted to explain that in Q3 and Q4, we will really steer the OTC BPC growth around mid-single-digit growth, but with substantially improved gross margin, and that will be a combination of services further growing and overproportionately contributing to EBITDA and OTC BPC also kind of increasing their share in the EBITDA contribution in the second half.
Operator: The next question comes from Volker Bosse, Baader Bank.
Volker Bosse: Volker Bosse, Baader Bank. I have one question left. I would like to dig deeper into the non-Rx sales, CHF 428.9 million, which you reported for the first half. What would have been the figures if you exclude the other sales? So what is the OTC BPC sales here? And historically, over the last quarters, you broke that out. Perhaps you can provide us here with a clean figure what would be OTC BPC sales, so excluding TeleClinic and Retail Media basically?
Daniel Wüest: I think TeleClinic, we stated that in the presentation, it's CHF 11 million. Then on the other services are retail media and marketplace, and that's kind of mid-single-digit million revenue contribution. which brings you to mid-teens if you aggregate all these three services.
Operator: Okay. So at this point, there seem to be no further questions. I'll just wait for a couple more seconds. But there are no further questions. So back to you, Mr. Hess, for some closing remarks.
Walter Hess: Okay. Thank you very much. Yes. So just to summarize, I think the company is really developing well in the right direction. We manage our core foundation, the online pharmacy business well. And we have given us close guardrails within we manage the core business. At the same time, as you see, we build and develop new businesses, complementary businesses, which -- and that's a good thing, already show this year relevant results. and will show much more significant results year-by-year in the future. And that's really exciting. It's not just talking about, it's really results that are coming and that are visible also to you all. And at the same time, we also, again, can show our strong innovation power of the company with the launch of the agentic DocMorris assistant, the beta launch. But also this will -- you will see impact in the future, be it with higher traffic, be it with engagement, loyalty. And these are important steps that we take. We take them now to be visible, let's say, in two or three years in combination with the foundation, with the services and as I said, with this innovation. And yes, with that, thank you very much for joining and looking forward to meeting you either in person or with the next call. Have a good day.